Operator: Greetings and welcome to the voxeljet AG Fourth Quarter and Full Year 2021 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Johannes Pesch, Director, Investor Relations and Business Development for voxeljet. Thank you. You may begin.
Johannes Pesch: Thank you, operator and good morning everyone. With me today are Dr. Ingo Ederer, voxeljet Chief Executive Officer and Rudi Franz, voxeljet Chief Financial Officer. Yesterday, after the market close, voxeljet issued a press release announcing its fourth quarter and full year financial results for the period ended December 31, 2021. The release as well as the accompanying presentation for conference call is available in the Investor Relations section of the company’s website at voxeljet.com. During our call, we may make certain forward-looking statements about the company’s performance, including expectations and results from our current order backlog. Such forward-looking statements are not guarantees of future performance and therefore, one should not state undue reliance upon this. Forward-looking statements are also subject to inherent risks as risks and uncertainties that could cause actual results to differ materially from those expressed, including the risks and uncertainties caused by the current COVID-19 pandemic and the resulting uncertainty in the global economy. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release as well as the risk factors contained in the company’s filings with the Securities and Exchange Commission. With that, I would now like to turn the call over to Ingo, Chief Executive Officer of voxeljet.
Ingo Ederer: Thank you, Johannes. Good morning, everyone. Thank you for joining us on our earnings call today. Please let’s turn to Slide 4. Our route to reach back to the year 1995 with the first successful dosing of UV resins. In the context of a hidden project, initial 3D printing tests were performed at the Technical University of Munich. I co-founded the company on May 5, 1999 as a spin-off from University with a clear vision in mind to establish new manufacturing standards. Today, we provide our customers a strategic competitive advantage by upgrading the existing conventional production methods to additive manufacturing solutions. We pushed technology boundaries and developed new generative processes serve for the serious production of complex components. Let’s turn to Slide 5, where we describe our technology. In the additive manufacturing market, there are likely more than 10 different technologies, each with its specified specialized field of application. We use a technology called binder-jetting. Binder-jetting is especially suited for high volume manufacturing, because of its potential to scale. With our VJET X technology, we are pushing new boundaries. On Slide 6, you can find a high level overview of our company. I would like to focus on recent key developments and how we believe these milestones will help us on our mission to establish new manufacturing standards. We ended 2021 with a number of notable achievements that underscore the growing demand across our product portfolio, increasingly favorable market dynamics and greater recognition of voxeljet’s leading 3D printing technology for industrial applications. In September 2021, we announced that together with GE Renewable Energy, we plan to develop the world’s largest binder-jet 3D printer for the production of critical components for next-generation wind turbines called Haliade-X. In a later slide, we have included some images of this exciting project. In October 2021, we announced that Brose, a leading global supplier to the electric car industry, is the first client in the beta program for our new, large high-speed sintering printer. In November 2021, we announced a partnership with Covestro, a multibillion-dollar chemical company to advance additive manufacturing in series production. And in December 2021, we received the final acceptance for the first VJET X units from our partners, which includes a leading German carmaker. VJET X is a new 3D printer with extreme performance for high-volume industrial applications. In a later slide, we have summarized a timeline of this exciting project. Keep in mind we developed a completely new 3D printer in the next generation print engine, which is much faster than previous versions. This new print engine has a layer time of four seconds. In addition, together with our partners, we developed a new inorganic binding system for maximum environmental compatibility. Overall, the fourth quarter 2021 was a record quarter in sales for our company and we are pleased to see that this momentum has continued in the first month of the new year. In our 3D part production centers, especially in Germany, we were at overcapacity for the first month of the new year, this is great to see. On Slide 7, you can see pictures of our production facilities in Germany, U.S. and China. Let me briefly explain our 2 business segments. In the Services segment, top left side of the slide, we operate our own 3D printers in 3 facilities around the world to offer affordable on-demand access to our technology. The barriers to entry are very low as customers just need to send in the 3D data, and we will print parts for them. This is a great and easy way for our customers to understand new business opportunities in 3D printing. The short sales targets and services help us balance the typical long sales cycles in our systems segment. Customers come from various industries, including automotive, aerospace, general engineering as well as art and architecture. In the U.S., one of our largest on-demand printing clients is a supplier to a leading space exploration company. In our systems segment, we manufacture and sell industrial grade, high-speed, large-format 3D printing systems geared towards mass production of complex models, molds and direct parts. Systems revenue also includes recurring revenue from the sale of consumables, maintenance contracts, upgrades and other after-sales activities. Let’s turn to Slide 8 and an illustration of the wide range of applications of our technology. We are encouraged by the many discussions that we are having with different players in a broad variety of industries who are all seriously looking at adopting our technology for well-chosen applications. To give you some examples, there is an innovative yacht company producing several thousands of advanced propellers with our technology. They are leading U.S. based exploration companies using our technology to make their rockets more aerodynamic. There are carmakers using our technology to make their vehicles more lightweight and energy efficient. There is a leading Swiss University in [indiscernible], the ETH using our technology to make the most amazing concrete structures and there are many more. Simultaneously, we are seeing that the effective adoption of 3D printing not only requires investments, but also very important transformal shift in the ecosystem. This, for example, includes pre and post-processing of the 3D printed parts. We believe that we are ahead of our competition in this regard because of the experience we have already gained through VJET X. Let’s turn to Slide 9 and some thoughts on the additive manufacturing market. As you can see, one of associated project growth to accelerate over the next years, this growth will be driven by a larger share of sales manufacturing. So, how could these opportunities become, how big? If you assume that the global economy is about $82 million. And if you assume that manufacturing accounts for 16% of it, this would put the manufacturing economy at around $12.8 trillion. If additive manufacturing captures only 5% of the manufacturing economy, it could potentially be a $640 billion industry. So, this technology is ready to start meeting manufacturing needs. Post-pandemic, we need to create versatility. We need location. We need to make sure that we have flexibility. This is something we hear in almost every discussion that we have with our customers. I believe we are in an excellent position to capture our fair share of this growing market over the next years because what really differentiates us from the other players in the 3D printing industry is our focus on solutions for manufacturing or industrial production at scale. I would estimate that with our current portfolio of 3D printers, our share in sales to manufacturing is already higher than any of our competitors. I expect our position to grow further significantly with VJET X and the new high speed sintering printer. I believe so because we are working with leading industrial OEMs, basically since our foundation, we sold our first 3D printer to BMW and Daimler 20 years ago. In addition, our technology evolved significantly over the last years in terms of speed, accuracy and the degree of automation of the whole process chain. Slide 10 shows our global sales network and production footprint. As you can see, we have reached an established position in all major markets in Europe, U.S. as well as Asia. We stopped our activities in Russia and Belarus until further notice. Turning to Slide 11, on the left side, we have summarized our USP. We differentiate ourselves from our competitors by build size, mature diversity and speed. This leads to a complete set of industrial 3D printers to support critical, demanding applications and address the challenges and needs that are most important to our customers. Each model can be used with multiple material sets, for example, we also reached 1,000 3D printers for the printing of highly accessed sand casting modes or ceramics or as a plastic polymerization printer. On the bottom right side of the slide, you can see some of our new products. With these new printers, we believe we can increase our total addressable market considerably. We can target new applications with existing customer groups, for example, with VJET X. With High Speed Sintering, we can address both new and existing markets like, for example, audio equipment, automotive interiors, exteriors, sealings, gaskets, stripper and other custom consumer products. Let’s start with the formal part of the presentation. I will begin with an overview of the results for the fourth quarter. Rudi will then provide a more in-depth view of our financials for the fourth quarter and full year 2021 and our outlook for 2022. Following his comments, we will be happy to take your questions. Turning to Slide 13, total revenue for the fourth quarter of this year increased 23% to €10.9 million as compared to €9 million in the fourth quarter last year. This is a new record in quarterly revenue for our company and a great achievement for the whole team. Also, we reached an important profitability milestone with a positive EBITDA for the quarter. In services, our on-demand 3D printing segment, we saw a strong quarter with continued high demand for our product and quarterly revenues grew 12% from a strong quarter year-over-year. In systems, we sold 9 printers in the fourth quarter this year as compared to 8 printers in the fourth quarter 2020. Notably, we sold a higher number of larger scale printers, which generate higher revenues and higher gross margins. Looking at the right side of this slide in gross margins, we are very pleased with high gross profit and gross profit margins in our German on-demand printing center and also see improvements in our U.S. and Chinese facilities. In systems, gross profit margin from the sale of 3D printers increased. This was offset by a one-time non-recurring change in the reserve for slow moving interest rate. This is a non-cash item. We see some challenges when it comes to lead times for certain components for our printers and we are working with our suppliers on this topic. Slide 14 breaks down order backlog by quarter, revenue by geography and operating expenses by category. When looking at revenue by geographic region, we target an even distribution across the three regions to hedge against risk from local events. Let’s move to Slide 15 and overview of VJET X, the new high speed sintering printer and our project with GE Renewable Energy. We believe these new products will help us capture a significant portion of manufacturing-related revenue. Keep in mind these printers are made for automated industrial production. Let’s start with VJET X from Slide 16. In December of 2021, we have received the final acceptance for the first two VJET X units from the premium carmaker and our partners. This acceptance is the trigger for revenue recognition. In addition, we are finalizing the negotiations regarding a long-term maintenance package. This is excellent news. Quick recap, the tender phase for this ambitious project started in 2017 and we are selected by the carmaker in 2018. In June 2019, we presented the new 3D printing solution to the public for the first time at a large trade show and delivered the first oral printers to the carmaker. In the next 2 years and together with our partners, we have developed and implemented significant changes and upgrades. This includes improvements regarding the printing engine, the binder composition, the curing of the 3D printed cars in the industrial microwave ovens and the robotic handling of the 3D printed core. Our technology evolved significantly over this time in terms of speed, accuracy and degree of automation of the whole process chain. In August and September 2020, we received orders for the next 3 VJET X units. In February 2021, we started to supply parts for pre-series production ended December 2021. We received the final acceptance for the first two units. Why exactly is this technology relevant for our customers? Because VJET X is very fast and all processes are automated. We expect that you can print several hundred thousand parts per year with a single one production cell. Components made with this technology are so complex that you cannot make it efficiently with the conventional manufacturing. We need to match 3D print with sand cost and then casting. Direct metal printing is not an option here because the cost per part or many orders of magnitude higher as compared to our more efficient approach of combining 3D printing and conventional manufacturing. On Slide 17, you can see an image of this cutting-edge printing engine and a link to a video. Let’s move to Slide 18 and our sintering technology. You often ask how HP’s Multi Jet Fusion compares to our high speed sintering process and what the key differentiators are. From the outside, there is not much difference, but processes print black ink on to a powder bed and then simply the printed powder with an IR lamp, but if you look closer, you will see significant differences. We use a different jetting engine technology than HP. Without going into technical details here, our approach allows us together with the cleverest self-balancing IR lamp design to skip the second print fluid of detailing agent. This means that our process is cheaper in operation for our customers and results in lower cost per part. Also powder from our machines use less heat than that of our competitors, which means it degrades more slowly and should be easier to recycle. The improved temperature management from the IR lamp setup allows us to process large build areas without major problems from temperature-induced warping. Over the next years, you will see that a growing number of parts currently made out of metal will that be manufactured with high-performance plastic polymers. Engineering thermoplastic materials provide consistent strength in business and outstanding impact with performance for metal replacement. They are also lighter and can maintain structural performance at high temperatures and resist corrosion. We believe that the sales opportunity for 3D printing and the manufacturing of high-performance plastic polymers can become larger than the opportunity in metal printing. You want to capture a significant portion of this growing market with our new large high speed sintering printers. On Slide 19, we summarize another blockbuster project. Together with GE Renewable Energy, we plan to develop the world’s largest binder-jetting 3D printer. This new 3D printer is expected to streamline the production of key components of GE’s Haliade-X offshore wind turbines, which are among the world’s largest and most efficient units of this time. We are proud to be part of this groundbreaking project in the period of renewable energy and will provide pictures over the year as we just started the process of ordering parts and assembling the first prototype components. To summarize, a key focus that will create separation for us over the long-term is our expertise and IP in binder-jetting for series production. Ultimately, it is about becoming more productive at scale and I am highly confident in our ability to execute on this. With that, I would now like to turn the call over to Rudi.
Rudi Franz: Thank you, Ingo. Good morning, everyone. We are happy with our results for 2021 and our performance against full year 2021 guidance. Have in mind, we hit the midpoint in revenues, we are on point with gross margins, R&D and selling expenses. Only administrative expenses were out of our estimate as a result of higher peak for services related to be a public company. In addition, we are EBITDA positive in the fourth quarter of 2021, which is a very good sign for things to come. We made significant progress in our principal research project as demonstrated by the final sign-offs we have received for the first VJET X unit. The positive momentum has carried out has carried over into the new year and we are very busy in our on-demand printing segment, I spoke to some colleagues there and they told me they were as busy as ever. So this is great to see. Before we start with the numbers, let me quickly comment on recent geopolitical developments. An unprovoked reckless attack by Russia on Ukraine has caused unthinkable human suffering. As a result, we decided weeks ago to not service customers in Russia and Belarus for the foreseeable future. Regarding COVID-19, we continue to work with some special measures in place around isolation and contamination protocols to ensure the safety of our employees and to reduce risk of operational disruption. For the past few weeks, COVID-19 cases have increased in certain areas of the world and we are monitoring the evolving situation carefully. I will now take you through the financials for the fourth quarter and full year 2021. After that, we are happy to take your questions. Turning to Slide 21, the fourth quarter was a record quarter for us in sales. Revenues increased 22.9% to €10.9 million in the fourth quarter of 2021 as compared to €8.9 million in last year’s fourth quarter. We have sold 920 in the quarter, and those were also larger scale, which generate higher revenue. Revenue from our 3D print parts production center in Germany continues to be strong. In the U.S., we have seen a strong uptick in the first quarter of 2021 as well. Over the last weeks, we are at capacity in our Service segment and completely busy with printing parts for our customers. It is great to see the momentum continue in the first quarter in services revenue could be one of the best we had in quite some time. Gross profit and gross margin in the quarter were €3.5 million and 32.7% compared to €3.0 million and 33.6% in the fourth quarter of 2020. Let’s break it down. In Systems, gross profit margin from the sale of 3D printed increased. The increase was offset by a non-recurring charge and the slow moving inventory results in the amount of €7 million. Before giving effect to this one-time charge, gross profit margin would have been 39%. This is well above the guidance, of course, margins of greater than 32.5%. Gross margins in Services also improved, driven by strong results in our German facility. Our U.S. and Chinese service centers are working hard to improve their gross margin contribution. The next slide show our segment reporting for the quarter. On Slide 22, revenues from our Systems segment, which includes revenues from selling 3D printers, consumables and spare parts as well as maintenance, increased 6.5% to €8.5 million for the fourth quarter of 2021 from €6.7 million for the fourth quarter of 2020. We sold seven new and two refurbished printers this quarter compared to six new and two refurbished printers in the fourth quarter 2020. Product mix was different as we sold more large-scale printers, which generate higher revenue and gross margin. Gross margin from the sale of 3D printers increased. The increase was offset by a one-time allowance with slow-moving inventory in the amount of €0.7 million. Without this allowance, gross margin for the Systems segment would have been 41.3%, which is an excellent result. On Slide 23, Services revenues increased 11.6% to €2.4 million in the fourth quarter 2021 compared to €2.2 million in the same quarter 2020. Service gross profit margin increased to 30.9% in the fourth quarter of 2021 compared to 26.7% in the same quarter 2020. The improvement was driven by strong gross margin contribution from the service center in Germany. Looking now to the rest of the income statement on Slide 24, selling expenses were €2.0 million in the fourth quarter of 2021. The majority of our selling expenses are personnel expenses and distribution expenses, such as freight and commissions for sales agents. This compares to €1.7 million in the fourth quarter of 2020. Administrative expenses were €1.6 million compared to €1.7 million in the fourth quarter of 2020. Keep in mind, we typically spend more than €1 million in funding fees per and €0.5 million in media consulting fees. Research and development expenses were €1.4 million in the fourth quarter compared to €1.8 million in the same quarter 2020. These expenses are usually driven by individual projects, especially through the consumption materials as well as the demand of external services may vary significantly. Operating loss was €0.8 million in the fourth quarter of ‘21 compared to an operating loss of €2.7 million in the comparative period last year. The improvement was mainly due to the positive net impact of the quarter over quarter changes in the operating expenses and other operating income among €1.1 million. In addition, gross profit for the fourth quarter 2021 increased by €0.6 million, and R&D expenses were lower, notably, this over means that we were EBITDA positive for the quarter. Net profit for the quarter was €1.0 million or €0.15 per ADS compared to a net loss of €3.7 million or €0.77 in the prior year same quarter. In addition to the improved operating results, net financial income of €2 million with bottom-line improvement. The financial income resulted from the revaluation of the derivative financial instrument with the European Investment Bank as part of the financial results. This is a non-cash item. We have provided the same presentation for the full year ended December 31, 2021, on Slide 25 to 28. Slide 29 shows the active balance sheet items. At December 31, 2021, the company had cash, cash equivalents and short-term investments in bond funds of €22.7 million. Total debt at December 31, 2021, was approximately €27.8 million. And this, the maturity comes from EIB. We have additional funds available under the agreement with EIB certain milestones are met, and we are among other topics currently discussing this option with EIB. I would like to highlight we have additional flexibility to our own real estate portfolio in Germany, our headquarters nearby Munich. These assets are part of property, plant and equipment and non-current assets. The value of real estate has depreciated significantly over the last years in our area, and we estimate a value for the complex in report of more than €25 million. This could be used, for example, as a sale and leaseback transaction. Weighted average number of shares outstanding at December 31, 2021, were $6.3 million, current shares outstanding of $7,026,711. Moving now on to Slide 30 and our financial guidance for the full year 2022, full year 2022 revenue range is expected to be between €25 million and €30 million. SG&A spending is expected to be in the range of €13.25 million to €13.75 million and R&D spending is expected to be between €7.25 million to €7.5 million. Depreciation and amortization expenses are expected to be between €3 million and €3.25 million. CapEx spending for 2022 is projected to be in the range of €4.5 million to €4.75 million, which primarily consists of ongoing investments in our global subsidiaries. Adjusted EBITDA, which excludes the impact of foreign exchange valuation, is expected to be neutral to positive for the fourth quarter of 2022. Revenue for the first quarter of 2022 is expected to be in the range of €4.0 to €4.5 million. This concludes my remarks. And with that, we will now open the call up for your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Troy Jensen with Lake Street Capital Markets. Please proceed with your question.
Troy Jensen: Hi, gentlemen. Good morning and congrats on the record results.
Ingo Ederer: Good morning, Troy. Thank you.
Troy Jensen: So I guess I want to dive into just kind of a few of the kind of important new product segments here. So first of all, the GE Renewables partnership, just can you help us out with the development time line here? And how long before you think this is more of a generally available product?
Ingo Ederer: Yes. So this is Ingo. This is a fair question. The GE project consists over several phases. We are currently in the first phase, which is also supported by the German government. This is a development phase for a prototype version of printer. This first phase will take about 2 years. So you will see us probably having towards the end of next year a positive version of this printer available. Then we are probably stepping into the next phase where we then develop a product which will firstly tested by GE or GE Renewable customers. And of course, this is a very close partnership. It is clear that the first access to this product will be through GE Renewable. But since this business or the renewable business is, let’s say, a fast growing and also the order book of GE Renewable is completely full for the next years. We have –we see good opportunities for this kind of product.
Troy Jensen: Awesome. Excited for it. Alright. Ingo, how about the next high speed sintering that it’s an exciting product for me? I think it’s a big catalyst for you guys. So I know you’ve announced some betas. I’d love to just kind of give the update on kind of how the betas are ramping and kind of same question on generally available when you think you can kind of start to really revenue the product?
Ingo Ederer: Yes. So the VX1000 beta units are in progress. So we are doing the initial operation of these units. They are a little bit behind schedule because of supply chain issues, but we are now very optimistic to meet our plans for this year. So they are, let’s say, then in the final stage to hand them over to customers. And we are also in progress to take further contracts for beta units which we will then probably delivered beginning of next year. So we are quite pleased with the achievement. The product seems very performing. So from the data we currently have, it meets or exceeds our expectations, all that is quite nice.
Troy Jensen: Awesome. Glad to hear. And then lastly, how about just an update on the German automotive customer, I am guessing your revenue to 2 units this quarter, probably 3 to go. Just curious if there is more in the pipeline with that customer, other automotive customers starting to look now at a similar application?
Ingo Ederer: Sure. So as you know, this specific client is working to completely convert its production line into 3D printing. So we are in ongoing talks about expanding the installations. Probably it’s not more to talk about. So these are ongoing talks. And we believe that we are in a good position for the future and also for further contracts. And we have also started negotiations with other customers also from other fields, not just automotive, about similar types of installations. So we are quite optimistic that this project will turn out to be scaled in the future also with other clients.
Troy Jensen: Awesome. Alright, guys, congrats again and good luck this year.
Ingo Ederer: Thank you.
Rudi Franz: Thank you, Troy.
Operator: Thank you. Our next question comes from the line of Brian Kinstlinger with Alliance Global Partners. Please proceed with your question.
Brian Kinstlinger: Great. Thanks so much. Nice quarterly results.
Ingo Ederer: Thank you, Brian.
Brian Kinstlinger: You mentioned selling – How are you? You mentioned selling a high number of large-scale printers in the quarter, which generate higher revenues. But looking at the ARPU, just taking the systems revenue divided by the units sold, you’re just under €1 million, which is close to your – close, not at, but close to your lowest ARPU in 2 years. So can you reconcile these two things?
Rudi Franz: Brian, can you please repeat your question? I didn’t get it in full.
Brian Kinstlinger: Yes. So if I look at the average price per unit sold. You sold nine printers, two were refurbished. It’s just under €1 million. If I look at the last eight quarters, there is only been two quarters where it’s around that low. So can you reconcile that low number, the average price sold to your comments saying the printers you sold were of high-priced, high revenue?
Rudi Franz: The first hand, you have to have in mind that the total revenue consists out of service center revenue and printer revenue. The average and what the total market is always the average selling price of a printer is €500,000 approximately. And this is when we say the average selling price is higher [Technical Difficulty] this is in the call.
Ingo Ederer: And price in the systems segment, we will cost the printer sales and after sales consumables. So if there is a lower number of printers sold, you get a higher portion of the consumables and vice-versa. So this is probably where the confusion comes from.
Brian Kinstlinger: Okay. And then can you repeat your comments on three new printers that were ordered? Was that to VJET X with your large car manufacturer customer? And then talk about just digital development, as you see it playing out in 2022, which sets you obviously up for 2023. How are you attracting new customers? Is that a big priority right now before your use case studies are playing out with this large car manufacturer? Just take us through kind of the strategy of 2022 as it relates to business development.
Ingo Ederer: I try to answer your question. So we are serving many, many fields of industrial goods. So it’s not just the car industry. Of course, the car industry here in Germany is a very well established and also very important industry for us, but we have many other customer areas among them, for instance, and probably you heard me saying that there is art and architecture, for instance, is a very strong customer base. We are serving this customer base in years also with interesting applications. Then we have aerospace industry, we have space exploration industry. So there are many others. So what is important for us with this project with VJET X that this is the first time where we have an installation consisting of several binder-jet printers together with pre and post processing units to make it a fully automated process chain for making mass manufacturing of parts. And this is not only applicable for automotive industry, but also for other industries. That’s why we believe this is as a showcase for future applications and not just in printed sand but also in our plastics and sintering area. So that’s why we believe this is very important to us. And we are currently gathering new interest from other industries and other customers for probably very similar solutions. Hopefully, this answers your questions a little bit.
Brian Kinstlinger: Right. Yes. My last question is I assume that based on – you talk about the fourth quarter of 2022 being EBITDA positive, that will be like the last 2 years, your strongest seasonal quarter. Can you talk about, is that based on – I think you’ll sell a number of units in that fourth quarter. Is that to this car manufacturer, this large car manufacturer? Or are there a number of different customers that you think you’ll be delivering systems in that December quarter, which generally is the bulk of your deliveries?
Rudi Franz: Brian, we don’t disclose the individual client, what we can say, and I think this has been in Ingo’s script, that we received two sign-offs from the carmaker, meaning we sold two printers to them. There are printers in backlog to this car manufacturer, which are supposed to be sold or where we going to get a sign-off for revenue recognition within the second half of this year and the other printers, which we sold to various customers in the U.S., in Europe and in Asia.
Brian Kinstlinger: Okay, thank you.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session. I’ll turn the floor back to Ingo for any final comments.
Ingo Ederer: Thank you. The foundation for our success will always be an inspiring and innovative product, and we see things moving in the right direction. As mentioned in the beginning, we are a technology company with a key mission to establish new manufacturing standards. We see a big opportunity in developing in front of us with more and more clients looking to use 3D printing and industrial manufacturing. A prominent example is our project for renewable energies together with GE. Thank you for joining today’s call, and we are looking forward to speaking with you again in our next earnings call, which we expect to take place in May with results for the first quarter 2022. Thank you very much, and have a good day.
Rudi Franz: Bye-bye. Thank you to everyone. Have a good day.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.